Operator: Welcome to the MetLife fourth quarter earnings release. (Operator Instructions) Before we get started, I would like to read the following statement on behalf of MetLife. Except with respect to historical information, statements made in this conference call constitute forward-looking statements within the meaning of the federal securities laws, including statements relating to trends in the company's operations and financial results and the business and the products of the company and its subsidiaries. MetLife's actual results may differ materially from the results anticipated in the forward-looking statements as a result of risks and uncertainties, including those described from time-to-time in MetLife Incorporated's filings with the U.S. Securities and Exchange Commission. MetLife Incorporated specifically disclaims any obligation to update or revise any forward-looking statements, whether as a result of new information, future developments, or otherwise. With that, I would like to turn the call over to Conor Murphy, Head of Investor Relations.
Conor Murphy: Thank you and good morning, everyone. Welcome to MetLife's fourth quarter 2009 earnings call. We are delighted to be here with you this morning to talk about our results. We will be discussing certain financial measures and updates on generally accepted accounting principles, so-called non-GAAP measures. We have reconciled these non-GAAP measures to the most directly comparable GAAP measures in our earnings press release and in our quarterly financial supplement both of which are available at Metlife.com on our Investor Relations page. A reconciliation of forward-looking financial information to the most directly comparable GAAP measure is not accessible because MetLife believes it is not possible to provide a reliable forecast of the net investment related gains and losses which can fluctuate from period to period and may have significant impact on GAAP net income. Joining me this morning on the call are Rob Henrikson, our Chairman and Chief Executive Officer; Steve Kandarian, our Chief Investment Officer and Bill Wheeler, our Chief Financial Officer. After our brief prepared comments we will take your questions. Here with us today to participate in the discussion are other members of management including Bill Mullaney, President of the U.S. business and Bill Toppeta, President of International. With that I would like to turn the call over to Rob.
Rob Henrikson : Thank you Conor and good morning everyone. Before we get into earnings results I would like to take a moment to comment on recent developments that we noted in our press release. As we stated, we are in discussions with AIG over the potential acquisition of ALICO but we have not reached an agreement and there is no certainty that we will. Beyond that I have nothing further to say about those discussions but as I have repeatedly said, MetLife does not need to enter into any eminent transaction to meet our business objectives and any transaction we undertake would be accretive and financially attractive to our shareholders, would accelerate our strategy and more importantly we would be confident in our ability to execute and realize the transaction’s economic value. In other words, our acquisition criteria have not changed. Now let’s get started on our year-end results. During the fourth quarter MetLife delivered very strong results growing premiums, fees and other revenues to $9.3 billion, up 14% over the prior year and 10% sequentially. We converted growth into earnings with operating earnings of $793 million, significantly higher than they were a year ago and 10% higher than the third quarter of 2009. We have again demonstrated our strength as we grew our businesses and extended our lead in the marketplace and we did this while maintaining our discipline in underwriting, pricing and risk management. Now let me share a few highlights from our businesses. In U.S. business results for the quarter were very good. Premiums, fees and other revenues was $7.8 billion, and grew 11% over the prior period driven by 32% growth in retirement products, 26% in corporate benefit funding and 8% in insurance products. Within our insurance products segment we enjoyed growth across all product groups. Individual life delivered solid results with increased whole, term and universal life sales. Group life grew by nearly 10% and non-medical health grew by almost 5% due largely to continued organic growth in our dental business. In retirement products the significant top line growth is due to higher income annuity premiums and fee income on our variable annuities. Total annuity sales were strong again at $4.2 billion, up from the third quarter and driven mostly by $3.7 billion of variable annuity sales. This performance reflects continued strong sales in our traditional markets including individual distribution, banks and wire houses as well as our expanded partnership with Fidelity. We also continued to experience positive net flows and declining lapse rates which I believe is a strong demonstration of a continuing flight to MetLife. In corporate benefit funding premiums, fees and other revenues were $1 billion for the quarter, up from the prior period due to higher structured settlement premiums, another area where we have gained market share and increased pension close out premiums which were strong in both the U.S. and the U.K. Rounding out the U.S. business segments, auto and home also had another very solid quarter. Turning to international, we achieved double digit growth across all of our regions. Premiums, fees and other revenues grew 22% over the prior period. Driven by strong growth in Mexico, Chile and Brazil, our Latin America division grew its top line 18%. Asia Pacific grew 25% due to higher sales in Korea and China. In Japan annuity sales continued to be impacted by current market conditions with an 18% increase in fixed annuity sales and a 35% decline in variable annuity sales. In our European region which includes Europe, the Middle East and India, premiums, fees and other revenues increased by 32% driven by growth in India. With momentum in our international businesses we will continue to invest where we see growth opportunities. At our Investor Day in December we talked about MetLife Bank and how closely the bank ties to our retirement strategy. As you can see, with another solid quarter the bank achieved almost $300 million in operating earnings for 2009, clearly a great result which we have built from two relatively small but important acquisitions. In a few moments you will hear from Steve about our investment portfolio but first I would like to say the results are good and as we projected at Investor Day our credit losses are much lower this quarter. Looking back at the full year 2009 I am pleased with our strong and consistent performance particularly during a period marked by unprecedented economic events. We grew our premiums, fees and other revenues to $34 billion, up 4% over 2008. Our U.S. annuity sales totaled $21 billion, an increase of 10% over 2008 and our book value is recovering, up 37% from year-end 2008. During this time, MetLife has truly distinguished itself by increasing market share and growing our business when others could not while at the same time practicing sound risk management and expense control. As we shared with you at Investor Day we are proud of the success of our operational excellence initiatives, surpassing our initial goal one year ahead of schedule and raising the bar relative to both expense management and operational efficiencies going forward. As we move forward to 2010 let me assure you we will exercise the same discipline that led us through the crisis and allowed us to extend our lead in the marketplace. I believe we are well positioned for future growth backed by a strong brand, solid financial position and a talented and dedicated management team we have the foundation to create an even stronger, more valued and more profitable MetLife. With that I will turn it over to Steve.
Steve Kandarian : Thanks Rob. I would like to spend a few minutes reviewing the key components of our investment results for the quarter. First let me start with a comment on variable investment income. Pre-tax variable investment income for the fourth quarter was $212 million which is above plan by $62 million primarily from strong corporate joint venture and hedge fund returns partially offset by continued negative real estate returns. Let me touch on our investment activity during the quarter. As discussed at Investor Day we are reducing our cash position and purchasing spread assets as markets have stabilized. During the fourth quarter we reinvested approximately $1.6 billion of cash in spread assets. Our overall investment yield for spread assets during the quarter excluding short-term portfolios such as securities lending was approximately 5.2%. Now let me cover investment losses for the quarter. Gross investment losses continued to decline and were $272 million. The write downs also continued to decline and were $297 million. These write downs included $164 million in structured finance securities, $52 million from the strengthening of the mortgage valuation allowance and $16 million of corporate securities. The write downs also included $49 million of hybrid securities and $16 million of partnerships and equity securities which were impaired because the length of time and the extent to which the market value has been below amortized costs. Overall gross investment losses and impairments for Q4 excluding derivatives were at the lower end of the post-tax range discussed at Investor Day. Lapses from derivatives that do not qualify for hedge accounting were $810 million. This was primarily attributable to pre-tax losses of $383 million caused by higher interest rates and $327 million due to an improvement in MetLife’s own credit spread and its impact on the valuation of certain insurance liabilities. Gross unrealized losses continued to decline and were $10.8 billion at December 31, down from $11.8 billion at September 30 and spreads declined across all sectors. For example, spreads for BBB rated corporate bonds in CMBS declined about 60 basis points during the quarter. However, the gross unrealized gain decreased to $8.6 billion due to higher interest rates. As a result, the net unrealized loss increased slightly to $2.2 billion from $1.6 billion at September 30. Finally I would like to touch briefly upon our commercial mortgage holdings. During the fourth quarter we had no delinquencies in our U.S. portfolio and total delinquencies were only $8 million or two basis points on the overall portfolio. While we expect that delinquencies may increase in 2010 we view the level of delinquencies as manageable particularly given our mortgage valuation allowance of approximately $590 million. This allowance represents 1.7% of our portfolio which we believe would cover a 5.7% default rate. The loan to valuation of our portfolio increased slightly to 68% from 67% based on a rolling four quarter valuation process as the pace of value declines slowed. We estimate that market values will decline an additional 5% during 2010. Our average debt to service coverage ratio remains strong at 2.2 times and loans above 80% loan to value have an average coverage ratio of 1.5 times. Long-term maturities remain manageable with only $2.1 billion maturing in 2010. While we expect that the real estate sector will remain challenged we are confident that our commercial mortgage portfolio will outperform the overall market. With that I will turn the call over to Bill Wheeler.
Bill Wheeler : Thanks Steve. Good morning everyone. MetLife reported $0.96 of operating earnings per share in the fourth quarter and $2.87 for the full year 2009 which are above our Investor Day estimates. As I think you will see our businesses performed well in the quarter. This morning I will walk through some financial results and point out some highlights as well as some unusual items which occurred during the fourth quarter. Before I get started I just want to remind you I will now be speaking to our new U.S. business which consists of insurance products, retirement products, corporate benefit funding and auto and home. Also, as we had mentioned on last quarter’s call and again at Investor Day, MetLife Bank has become more impactful to our financial results and so with the fourth quarter of 2009 we have started separating the bank within banking, corporate and other in our QFS and so I will speak to the bank results as well. With that let’s get started. Let’s begin with premiums, fees and other revenues. Premiums, fees and other revenues which totaled $9.3 billion in the fourth quarter are up 14% from the fourth quarter of last year which is an excellent result. For the full year our top line revenues totaled $34 billion, a 4% increase over 2008. Total premiums, fees and other revenues for U.S. business of $7.8 billion reflect an 11% increase over the fourth quarter of 2008. The growth in insurance products revenues of 8% in the fourth quarter reflects across the board strength in group life, individual life and non-medical health. Retirement products revenue increase of 32% was driven by fee growth due to positive net flows and higher separate account investment returns and annuities as well as an increase in income annuity premiums. Revenue growth in corporate benefit funding of 26% was driven by strong structured settlement premiums in the current quarter. International’s premiums, fees and other revenue are up 22% over the fourth quarter of 2008 on a reported basis and 13% on a constant currency basis driven by growth across all three international regions. MetLife Bank fees and other revenues from both forward and reverse mortgage activity increased $258 million from $94 million in the prior year period, an increase of 175%. Turning to our operating margins let’s start with our underwriting results. In U.S. business our mortality results were very strong in both group life and individual life with the four-year mortality ratios coming in below Investor Day ranges. The group life mortality ratio for the quarter was 89.7% bringing the full year ratio to 90.3% versus our estimated range of 91-93%. Our individual mortality ratio for the quarter was 81.1% bringing the full year ratio to 82.5% versus our estimated range of 84-86%. As I mentioned on Investor Day, historically we spoke about group disability morbidity ratios. Now that our dental business has become just as important as our disability business in terms of the bottom line at MetLife for non-medical health we will discuss a total benefits ratio that includes dental, disability and other non-medical health coverage’s such as long-term care which we think is a better indicator of morbidity trends across the products in this segment. At 90.2% for the fourth quarter the total benefits ratio is up from 86.3% in the prior year quarter and that was driven by higher dental claims activity and weaker disability margins during the recession. Turning to our auto and home business the combined ratios including catastrophes while up remains strong at 92.3% for the fourth quarter. This compares to last year’s result of 84.9%. Also, included in this combined ratio result is the non-capped prior year accident reserve release of $9 million after tax compared to a $27 million after-tax release in the prior year period. Moving to investment spreads, as Steve mentioned investment spreads improved this quarter as we continued to shift funds from cash and government securities to higher yielding investments. In addition variable investment income continues to improve. With regard to variable investment income, as Steve explained, we again saw mixed performance in certain variable alternative asset classes this quarter, strong returns on corporate joint ventures and hedge funds but partially offset by negative returns in real estate. For the quarter variable investment income after tax and the impact of deferred acquisition costs was $40 million or $0.05 per share above the 2009 quarterly plan. Moving to expenses, our operational excellence initiative continues to prove successful but we had some unusual items flowing through expenses this quarter which drove our reported expenses up. Expenses at MetLife Bank were higher this quarter compared to the prior year due to the significant growth in that business and as I have mentioned in previous quarter’s pension and post-retirement benefit costs were also up from the prior year. This quarter we incurred $18 million after-tax in operational excellence charges which consisted mainly of real estate write downs. We also had certain one-time expenses this quarter that amounted to $44 million after tax. Together these items amounted to $0.08 per share. All of these expenses appear in corporate and other. Turning to our bottom line results we earned $793 million in operating income or $0.96 per share. If you recall at Investor Day we noted that we anticipated a positive impact from annual [back in] lockings and other adjustments which we did not yet include in our projected operating earnings range because the amount was not yet final. This ultimately added $0.12 to our operating earnings. Offsetting this is an adjustment made in our international business relating to a change in assumptions for measuring the effects of inflation on inflation index securities in Chile, Argentina and Mexico. This reduced earnings by $0.13 per share. When we normalize for these two items as well as the other factors described earlier we are still above our Investor Day estimates. With regard to investment gains and losses this quarter we had after-tax net realized investment losses of $557 million which included derivative losses of $527 million after-tax. As Steve mentioned, the derivative losses are primarily attributable to a tightening of MetLife’s own credit spread which amounted to $213 million after-tax and a rise in interest rates impacting our interest rate swaps and floors. MetLife uses derivatives to hedge a number of its risks. Changes in the values of these derivatives are in general offset on an economic basis across various assets and liabilities. Impairments were $193 million after-tax in the fourth quarter and have been declining each quarter in 2009. Now I would like to take a moment to talk about cash and capital. For the fourth quarter preliminary statutory operating earnings are an estimated $730 million. For the full year 2009 we had preliminary statutory earnings of approximately $3.3 billion after-tax and preliminary net income of approximately $1.8 billion after-tax. Total adjusted statutory capital and surplus at year-end is approximately $21 billion. Cash and liquid assets at the holding company at year-end totaled $3.8 billion. During the fourth quarter the holding company paid our annual common stock dividend amounting to just over $600 million. We also invested $375 million into Metropolitan Life Insurance Company (MLIC) in the form of surplus notes during the quarter. We have not finished our RBC calculations for year-end 2009 but based on our work today we are estimating that consolidated RBC will end the year at approximately 400, significantly above the 355-375 range provided at Investor Day. The increase was largely driven by better than expected results in the NEIC re-rating of RMBS securities as well as generally stronger fundamentals. I would like to point out one thing about our book value. Book value per share including AOCI was $37.96 at year-end and that is a little lower than our Investor Day projection. This was almost entirely driven by an overall increase in interest rates during December. The general account which was essentially at break-even just before Investor Day moved to a small unrealized loss at quarter end. By the way, since quarter end the general account has swung back to an unrealized gain. In summary our revenue growth remains strong. Our investment performance has improved and our earnings have grown considerably over the course of 2009. With that I will turn it back to the operator for your questions. 
Operator: (Operator Instructions) The first question comes from the line of Nigel Dally – Morgan Stanley.
Nigel Dally – Morgan Stanley: I was [inaudible] within a broad range of different regulatory tax proposals, financial services responsibility fees, the Volcker rules, reduction in dividend, received deductions, is it possible to discuss the impact of those proposals on your fundamental outlook? I know it is still very early stages but any perspective to help dimension that would be very helpful.
Bill Wheeler : I am sorry, a little bit of an echo here. I think what you asked was just in case not everybody heard it…I think what you asked about was the financial responsibility fee and then also the recent administration proposal regarding taxes.
Nigel Dally – Morgan Stanley: Correct.
Bill Wheeler : The financial responsibility fee, I am sure Rob will maybe have a comment about this; I would like to think that number would be zero given what it is labeled. But I think based on everybody’s assumptions regarding how that will be interpreted and implemented it will have a relatively modest effect on our results. Frankly it all depends on what the details are in terms of do they exclude insurance liabilities. I read something the other day which said they might exclude repos which consistent with that it would mean you would also exclude securities lending footings, so I think if you are really just talking about our debt balances that would be affected by the fee which I think that is where that ultimately goes. It is a really modest number. We are talking a few pennies. But again, I am not sure why we would pay anything. With regard to the administration’s tax proposals again the details are really preliminary. I would say with regard to the [SOLI] proposal or anything to do with the IOLI those are immaterial to us and I think in some ways could obviously help us. With regard to the DRD benefit, our total benefit that we received from the dividends [received] today is approximately $0.20 annually. So that is I guess what is potentially at risk. It is not clear to me if the proposal would assume the assumption of the loss of all of that or a piece of it. That is hard to say. I think kind of a silver lining here maybe is that as marginal tax rates go up on individuals that probably on the margin increases the demand for a lot of our insurance products. So there are obviously some ways to get penalized in this tax bill, there may be some benefits as well.
Rob Henrikson : Only because Bill said I would have something to say about this, I would say I can’t improve on his answer in any way other than just to point out as he stated, there are many discussions going on about this in terms of definitions, unintended consequences and so forth and those discussions are occurring with Treasury, with various people on the hill who have responsibilities relative to the committees that are overseeing this and so forth. I would say stay tuned but Bill’s answers are right on.
Operator: The next question comes from the line of Andrew Kligerman – UBS.
Andrew Kligerman – UBS: A few questions and maybe even most important is as the M&A environment is changing you mentioned in the call and in your press release that any transaction needs to meet your criteria. When I evaluate a transaction I like to know what is the return on invested capital. So if you were to do a deal, any deal, what type of return would you want on your capital and over what timeframe?
Rob Henrikson : I apologize and I don’t mean to duck you. Obviously at the right time I would be happy to answer that question. I just don’t want to kind of give any more back door color on the discussions we are currently having with AIG regarding ALICO. So if you don’t mind I would just as soon skip that one until another day.
Andrew Kligerman – UBS: I mind but I guess we will have to skip it anyway. With regard to the investment portfolio and Steve gave some excellent color around the commercial mortgage loan portfolio but just kind of looking at the losses you had about $1.3 billion in Q4 2008 and down to about $1.2 billion in 3Q 2009 and then this quarter you are looking at less than $600 million. The guidance was for about $1 billion in after-tax investment losses and economic investment losses in 2010. Does that indicate you are right on track to that? Maybe just a little color of how you feel about that guidance now?
Steve Kandarian : Investment losses are trending down nicely. We are seeing our impairment number coming down. Our loss number is coming down and actually some of our gains going up. So it is reflecting the marketplace overall especially the tighter spreads we are seeing in the marketplace. In terms of what we are projecting and thinking about for the coming year or the current year I should say we think the trend will continue to improve. That is based upon our view of the overall economy which is it will be a slow recovery but a slow and steady recovery. Obviously if it is a faster recovery the numbers could get even better. If there is a double dip which we are not projecting they could turn around and get worse. We have seen some real improvement over the course of the year and even some of the securities we impair most of them are still paying us in full and we are very hopeful in terms of how this will play out over time.
Andrew Kligerman – UBS: Lastly, with regard to RBC Bill mentioned about a 400% ratio at the end of the year, cash and liquidity at the holding co. of about $3.8 billion. Just in terms of an update, what is your redeployable capital at the end of the year and do you anticipate given the higher RBC ratio any need to downstream money to the [life] during the year?
Bill Wheeler : Redeployable capital, do you mean excess capital?
Andrew Kligerman – UBS: Excess capital.
Bill Wheeler : Definitions worry me. Well, I think we have said a couple of lines in the sand here. We need to hold $750 million of cash at the holding company so $3.8 billion minus 750 is just a little over $3 billion obviously. We have also said many times we view the line in the sand regarding RBC is 350 on a consolidated basis. Obviously that turns out to be about 50 RBC points higher than where we are today. You can think $60 an RBC point. So that is $3 billion. In terms of do I think we will need to make investment in the insurance subs I do not. I expect those businesses to have a respectable level of profitability in 2010. This is the highest consolidated RBC ratio we have ever posted so we have more cushion now in those businesses than we ever really had. So I don’t think we will have to put money down and in fact I fully expect to pay meaningful dividends up to the holding company in 2010.
Operator: The next question comes from the line of Suneet Kamath - Sanford Bernstein.
Suneet Kamath - Sanford Bernstein: A quick follow-up to Nigel’s question about the regulatory reforms. I am not sure you commented on the one that he mentioned, the Volcker changes around hedge funds and corporate JVs. Is there going to be any impact as far as you can tell on your investment strategies as it relates to your alternative portfolio?
Rob Henrikson : Obviously the details are to come. We don’t know how this will impact us if at all. As you know we do invest in hedge funds. We have $1.3 billion currently outstanding in hedge funds. The proprietary trading aspect wouldn’t really apply to us. So we are sort of staying tuned but we are regulated of course by the states and we have RBC charges against any and all assets that we purchase so I would think the logic would suggest this will not touch us but again, we will have to see how the bill is written.
Bill Wheeler : The only thing that I would add to that is that I think the thesis was investing that you do on behalf of your clients and customers versus your own account. Well all of our investing is for our customers and clients. We don’t have some [inaudible]. So I think that is a pretty key distinction.
Suneet Kamath - Sanford Bernstein: On the investment portfolio I think you mentioned $1.6 billion of cash invested in the fourth quarter. I am wondering what the new money investment rate on that was and where you put it to work in which asset class? Then as it relates to the consolidated yield X the short-term portfolio 5.2% how does that compare to your pricing assumption as you think about managing the business?
Steve Kandarian : We are investing across a broad array of assets or the entire sort of array that we normally invest in. Our yield is about 5.2% when you exclude things like securities lending. As of now it is hard to know exactly where that is going to go in the current year but we are certainly seeing a little pick up here in interest rates but we are also seeing spreads tightening. I am not quite sure I understood the last part of your question regarding what this means…were you referring the liability side how we are doing credit rates? What is the question there?
Suneet Kamath - Sanford Bernstein: The question was what rate did you put the $1.6 billion? I think the 5.2% relates to the total portfolio. As it relates to the other question, I assume you have in your pricing model some sort of a yield assumption or you assume we are going to get this level of yield and I am wondering what that number is, if you can give a range as in comparison to the 5.2%.
Rob Henrikson : There is no simple number there. I mean obviously every product we sell has different duration characteristics and the portfolio makeup is quite different in terms of how much will be in Treasuries or private equities or corporate or what have you. So every product has a different sort of target new money yields. I would say this though, keep in mind any sort of product we have that has sort of I would say a fixed component to it whether it is like a fixed annuity or a structured settlement, those get repriced pretty continuously. It is not literally every day but certainly most every day. So whenever the new money yields are at that time gets factored into our pricing so that we earn our requisite spreads. So it is really quite dynamic in terms of how we manage pricing there. As I think we have said on a number of occasions this whole year we have been raising prices or in some ways lowering crediting rates on our products all year pretty much across the board. So it is something to factor in when you think about our revenue growth here especially with the backdrop of the kind of pricing changes we have made it is really quite impressive.
Operator: The next question comes from the line of Darin Arita – Deutsche Bank.
Darin Arita – Deutsche Bank: I was hoping you could comment on the financial leverage of MetLife. What is the number that you are looking at, I know there are some adjustments you have made to that? Also just wondering how much of that in hybrid capacity you have from those numbers?
Steve Kandarian : Not to give anybody a little free advertising but we generally look at the Moody’s leverage ratio and they are sort of how to discuss it. You are right, there is a lot of different ways to calculate leverage and everybody does it a little differently. On a Moody’s leverage ratio basis we are just under 30%. At that leverage ratio we are a little under 30%. So I would say as of now based on that ratio our current capacity for more better hybrid financing is nearly zero. Keep in mind one thing though, and this is sort of a conscious decision we made, we at the beginning 2009 in the throes of the financial crisis we said if we have an ability to go issue debt or raise money and raise cash to deal with whatever problems occur we are going to do that because our debt leverage ratio at the end of 2008 was below 25% I think or around 25%. So we consciously issued securities, moved up the leverage ratio and then warehoused that cash on our balance sheet. That is why we have such a big cash balance at the holding company. We let the leverage ratio go up. The good news is happily we needed almost none of that money. We did put a little down in the insurance subs at year-end as discussed but the rest of it is still sitting there. So if you think about it, that is where my debt capacity went. It is now sitting in cash. I have already used it and it is sitting in cash at my holding company.
Darin Arita – Deutsche Bank: Turning to the auto and home segment, overall results looked good but as I looked at the auto segment the combined ratio ticked up above 100%. Anything happening there?
Bill Wheeler : Let me start by saying the fourth quarter is really seasonally the worst quarter for us for auto and the best quarter for homeowners. Our combined ratio target for the fourth quarter of 2009 was actually about 98. Now that being said there was about an 8.5 point change from Q4 2008 to Q4 2009 and the drivers of that change look like this; it is about three points less from prior year development which is still favorable as you are aware. We had about two points from one-time items and the remaining 3.5 points was from an increase in non-accident year loss ratio of about which one point was adverse weather and the other two points came from an increase in auto injury costs which we are also seeing in the industry and we are addressing through pricing. Now looking at the year which removes the seasonality the auto combined ratio came in at 94.7 which is an excellent result and still below our long-term target of 96.
Operator: The next question comes from the line of Mark Finkelstein - Macquarie.
Mark Finkelstein - Macquarie : I want to actually go back to kind of along Andrew’s lines. Maybe just help with the framework here. On capital if you add up what is excess or I should say capital margin at the insurance company plus the holding company cash less the $750 million you typically think about as one year’s fixed charges you get down to about a $6 billion number and obviously you need to keep a margin but is there any framework you can give us in terms of how you think about what would be a deployable number on an acquisition or what have you out of that $6 billion?
Rob Henrikson : Obviously excess at the holding company is available to do other things with. So that is sort of which you could draw it all down, you could draw some of it down, well that is obviously situational. The stuff at the insurance company we will be able to access that obviously through dividends in 2010 but as long as it is in the insurance sub there is not much I can do with it. Obviously some of it will come out in 2010 and I will have to use some of that money to pay interest and preferred and common dividends at the holding company but obviously some of that is available during 2010 to use for other purposes. But again I guess I would say that is situational.
Mark Finkelstein - Macquarie : Maybe just to kind of elaborate, would you be comfortable using that $3 billion at the holding company?
Rob Henrikson : Ultimately sure.
Mark Finkelstein - Macquarie : Steve, based on your forecast on real estate I think you mentioned you see another 5% down commercial real estate. Based on that assumption would it be your assumption that we would continue to see further write downs in the real estate funds or do we think with the write downs we showed in the fourth quarter that we are kind of factoring that in?
Steve Kandarian : As to the real estate funds I would say we have taken a large amount of write downs to date and there could be some more coming in the current year but I would not anticipate it being the same level certainly as 2009.
Mark Finkelstein - Macquarie : On the delinquency build on commercial mortgage loans, it looks like you added about $50 million to that allowance. What is the commentary on that? Given where you are in terms of the actual delinquencies in the portfolio do we expect to see continued build in that?
Steve Kandarian : We look forward 12 months when we put that number together. The delinquencies as I mentioned are very small, only $8 million all off-shore at this point in time. The real estate does have a lag effect and as the economy dips eventually commercial real estate mortgages will default in some cases but it tends to happen over a couple of year period of time. So we think this reserve is an adequate reserve, a conservative reserve but a good reserve. We will re-evaluate it every quarter and based upon market conditions we will make changes up or down as time goes on.
Operator: The next question comes from the line of John Nadel - Sterne, Agee & Leach.
John Nadel - Sterne, Agee & Leach: I have a couple of questions and I think they are really quick. How much was the negative component in variable investment income from the real estate fund in the fourth quarter?
Steve Kandarian: It was a couple of hundred million dollars.
John Nadel - Sterne, Agee & Leach: How much was the benefit from the TIMCO RMBS re-rating on the risk based capital ratio and related to that do you think the rating agencies give you credit for that or give the industry credit for that?
Rob Henrikson : I thought you said this was going to be quick. As I start my soliloquy I think on Investor Day we said the benefits from the NEIC re-rating would be between 15-20 RBC points. It is better than that. The number isn’t final yet but it is clearly better. I would tell you since you have given me this opportunity I would say I kind of want people to understand something that I think it sometimes gets lost here. Somehow this is perceived as a freebie. We had substantial ratings migration in the RMBS sector during 2009. We did get an adjustment from the NEIC re-rating process but even net of all that the capital charge if you will from that ratings migration on a net basis was still over $1 billion. So ratings migration still hurt us significantly in terms of our capital levels in 2009. So it is not like it is that big a deal. I would say in terms of the ratings agencies giving credit for it, I don’t think you ever are going to get quite a straight answer from them. I don’t think they are ever just going to say yes, unequivocally. I think they do understand the point of why this was done and I think depending on who you talk to inside the rating agencies they accept the methodology and given uniquely what has happened to RMBS that sort of the rating agency ratings versus the ratings used to match up with the NEIC ratings doesn’t really work anymore. That methodology is sort of broken and I think you will get consensus on that. I do effectively think they will give us credit for it but they will look at it closely. Obviously time will tell in terms of how these securities continue to perform. If they are consistent with the NEIC’s re-rating process and we think they will be, ultimately of course they will give credit for it.
John Nadel - Sterne, Agee & Leach: I don’t want to get into ALICO but just thinking about potential financing for any sort of deal, I guess two questions; one, would you entertain the idea of selling any of your current businesses to help generate cash to finance something else?
Rob Henrikson : I have a list here. See if I can scare everybody. We really don’t want to talk about this but the answer is no.
John Nadel - Sterne, Agee & Leach: I will try one more. You have a lot of extra capital that doesn’t get credit for in risk based capital or other places in your off-shore reinsurance entity. I think at year-end you put around a $2 billion number on that. I am wondering if any of that capital is available to the holding company or otherwise if needed for some other reason?
Rob Henrikson : I guess it is theoretically available but that is just not something we would consider. I think that is a really, really bad risk management practice. That is not something we would ever entertain.
Operator: The next question comes from the line of Edward Spehar – Bank of America/Merill Lynch.
Edward Spehar – Bank of America/Merill Lynch: I wanted to go back to the comment you made about you expect to pay meaningful dividends from the insurance subsidiary in 2010. Would this be your expectation independent of whether or not you do an acquisition?
Bill Wheeler : Yes.
Edward Spehar – Bank of America/Merill Lynch: If so why, it is unclear to me then why you put capital down in the sub in the fourth quarter considering that you expect to pay a material dividend this year.
Bill Wheeler : I feel a little foolish too. Obviously to get credit for it we need to put the capital down before year-end. So on December 28th I am looking at my Treasurer, slightly just before year-end we said we think the RBC ratio looks good but obviously the numbers aren’t final and things could jump around so let’s be safe rather than sorry and let’s put some money down. In hindsight we didn’t need to do that. So I think the good news is we can probably get it back out relatively quickly. We clearly didn’t need to do it. By the way, that 375 just to put it in context that is roughly 6 plus points of RBC so we clearly didn’t need to do it.
Operator: The next question comes from the line of Colin Devine – Citigroup.
Colin Devine - Citigroup: I wanted to clarify a couple of points. In terms of the target capital structure with this deal out there, what Moody’s holds you to obviously the 30% debt if you can do the 10% hybrid on top of that is question number one. Question two, can you talk a little bit more about the dental business? This is really the first time you have sort of held it out there as how much money you make. If you could expand a little bit. I’m not going to use the word color…I don’t think any of us want to hear that one again but perhaps you could expand a little bit on what is driving the dental business and you also talked about potentially doing some M&A there so not on the ALICO situation but perhaps some of the other opportunities you are looking at to accelerate the growth of MetLife right now.
Bill Wheeler : I really don’t want to talk about ALICO or sort of theoretical financing situations but I just would remind everybody if you issue common you create debt capacity and you create hybrid capacity. So by putting that additional common footings out there. That is sort of how the math works. In terms of, I talked about on our current balance sheet today I don’t think we have any incremental debt or hybrid capacity. That doesn’t mean we wouldn’t add some by issuing common. Hopefully that is clear to people.
Bill Mullaney : Just to give you some perspective at Investor Day we talked about changing the benefit ratio that we report out, moving away from the disability ratio to a non-medical health ratio. The reason we did that is in non-medical health dental is about 50% of the total premiums today. Disability premium is less than 25% of non-medical health and less than 5% of U.S. business overall so the dental business over the last several years because of the growth we have gotten, primarily organic growth but also from a small acquisition we did in 2008, has become a very important part of the U.S. business growth story. In terms of our outlook for dental going forward as you know, dental faced some pressure from an earnings perspective in 2009. We saw utilization spike up we think directly related to the increase in unemployment. However that has started to stabilize as we look at the fourth quarter and we have taken some significant pricing actions both from a renewal perspective as well as a new business perspective going into 2010. So we expect earnings on that business to begin to rebound. In terms of acquisitions for that business it is a great business for us as we have talked about before. It has been a strong grower. It has a very high ROE because the capital requirements for dental are low. The acquisition we did in 2008 which was a small DHMO acquisition in some key states in the west and the southwest not only helped us to grow the acquired business faster but it gave us entry into customers that we were not able to quote on before for our traditional PPO business because we didn’t have the DHMO capability. So if we could do other acquisitions like that it would help to expand out our DHMO capability as well as our traditional dental capability in other markets. We would certainly do that.
Colin Devine - Citigroup: Can you perhaps what is a high ROE for you? Is that a 15-20% ROE if I think of Met’s long-term target? Or 12-13? Is it better than that?
Bill Mullaney : The historical ROE on dental is north of 20%.
Colin Devine - Citigroup: With the defaults on Peter Cooper can you just reiterate perhaps one more time so that I will sleep better than Met has no residual exposure to that?
Steve Kandarian : That is correct. We sold that property. It was a cash sale. We did not buy for example any of the CMBS that was issued out of that sale. All of our purchase price considerations were received at closing.
Colin Devine - Citigroup: You are not thinking of getting back into it?
Rob Henrikson : I don’t know if they heard your question. So my ears are really clean this morning. No.
Operator: The next question comes from the line of Jeff Schuman – KBW.
Jeff Schuman – KBW : We talked a little bit about some of the tax and regulatory proposals but given there are a lot of things potentially floating out there in terms of regulatory reform and some of the changes may carry various costs or burdens or limitations for banks and bank holding companies, I am wondering how weathered you are necessarily to keeping the bank and being a bank holding company under all scenarios. I know you are pretty pleased with how it is running now. Is there a limit to the inconvenience you would accept under certain new regulatory scenarios?
Rob Henrikson : Let me take a crack at that. In the first place with the discussions occurring in Washington now and I would broaden and just emphasize that you have a lot of people involved in discussions on this whole topic and therefore it is moving and quite fluid. I would say it probably moves in terms of rhetoric a little bit differently since recent elections have changed a little bit the landscape in terms of people being willing to change rhetoric and compromise and so forth and so on. We like the bank very much. The fact that we are federally regulated as a bank holding company in and of itself has caused really no problems for us in terms of moving forward and we don’t see that it would cause problems anyway. Much of the discussion going back if you put it all together over the last several months one would wonder whether it made any difference whether you were a bank holding company or not. So certainly it wouldn’t make any sense to divest something under the theory that would somehow insulate from all regulatory reform and then turn around and in the end see you have sold something that had a great deal of value, was strategically valued and helped us to cross-sell products and services. We are always looking at the landscape, always looking at the value. If in fact this somehow created some sort of value deterioration for our shareholders obviously we would take whatever actions necessary.
Jeff Schuman – KBW : You did see an improvement in individual life sales this quarter or year-over-year. Does that reflect the market coming back a little bit or did you have some company specific things at work here or how should we read that?
Bill Mullaney : Individual sales did improve. We saw individual sales up about 13% over the last quarter and 17% up year-over-year. A lot of that came from whole life. Whole life sales were up a lot in both our agency as well as our third-party channel. We also saw an increase in term sales which came primarily from third-party and an increase in universal life sales and a decrease in variable sales because of the changes in the equity market. We are pretty happy with what we are seeing in the individual life market. We have made some changes to our products and some changes to our pricing. Increasing prices on certain products in certain segments to improve the return. So to play off something Bill Wheeler said earlier, we have a pretty dynamic approach to pricing all of our products and from a life insurance perspective we have been taking a look at some of the returns we have been making and changing our prices to improve some of the returns. Despite that we are seeing increased sales which we think is a function of our brand and a flight to quality.
Operator: The next question comes from the line of Tom Gallagher – Credit Suisse.
Tom Gallagher – Credit Suisse: I wanted to come back to a comment you made on your hold co. cash position. I think your response was that the full I believe $3-4 billion of excess cash at the holding company would ultimately be available for redeployment. What do you mean by ultimately? Is the thought that the $3-4 billion is a real nice cushion to have just given the economic uncertainty so you would rather sit on that for the time being? Or can you just elaborate in terms of how you are thinking about it?
Bill Wheeler : Just so it is clear, the $3-4 billion we have $3.8 billion in cash at the holding company. We need $750 million so the excess in my mind is $3 billion. It is excess. So it is available. The timing of that again obviously for me to try and say near-term versus long-term just invites speculation about ALICO which I am really not going to do. In my mind that is all excess that really is excess capital and it is ultimately available. Whether I spend it sooner rather than later, that is a judgment call we will make.
Tom Gallagher – Credit Suisse: So bottom line is given the strong RBC other potential levers you would be comfortable, forget about ALICO, you would be comfortable using the excess cash over the $750 million to do something with that immediately? So you don’t feel the need to sit on dry powder per se?
Bill Wheeler : I didn’t say immediately but I did say ultimately and I think we know the difference there. It is excess cash.
Tom Gallagher – Credit Suisse: One question for Steve on the mortgage reserve and your comment on the default rate. I just want to make sure I understand the math. So you were saying your current mortgage reserve would cover a 5.7% default rate and I get the fact that is because you expect to have recoveries because you have pretty good LTVs. But can you tell me what your recovery assumption would be embedded in that comment?
Steve Kandarian : We are assuming a 30% loss, 70% recovery based upon the nature of these mortgages we are looking at and historical norms and past cycles and so on. Then I should take the opportunity to just go back to Colin’s question one second on Peter Cooper’s [inaudible]. I think most of you know there is a lawsuit outstanding in which we are a named party. It relates to some really complicated tax issues. I won’t go into the details of that but our exposure based upon our analysis is to be a relatively small number. Should the plaintiffs be successful in that lawsuit it would be less than 1% of the sale price of that property so we view it as being relatively immaterial.
Operator: Ladies and gentlemen that does conclude the conference for today. Thank you for your participation. You may now disconnect.